Operator: Greetings and welcome to the China Green Agriculture Incorporated fourth quarter of fiscal year 2009 earnings call. (Operator Instructions) It is now my pleasure to introduce your host, Mr. Ted [Haberfield], H.C. International. Thank you, Mr. Haberfield. You may begin. 
Ted Haberfield : Thank you, everyone and welcome to China Green Agriculture's quarterly conference call which will cover the fourth quarter of fiscal year 2009 financial and operating results. The earnings press release accompanying this conference call went to the wire yesterday on September 15th after the close of the market. On our call today is Mr. Tao Li, Chairman, President and Chief Executive Officer; Ms. Ying Yang, the company’s Chief Financial Officer; and Mr. Johnny Yang, Secretary to the Board. I would like to remind our listeners that management’s prepared remarks contain forward-looking statements that are subject to risks and uncertainties and management may make additional forward-looking statements in response to your questions. Therefore the company claims the protection of Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today due to such risks as, but not limited to, fluctuations in customer demand, management of rapid growth, intensity of competition from other providers of China Green Agriculture products and services, general economic conditions, geo-political events and regulatory changes, and other information detailed from time to time in the company’s filings and future filings with the United States Securities and Exchange Commission. Accordingly, although the company believes that the expectations reflected in such forward-looking statements are reasonable, there can be no assurance that such expectations will prove to be correct. In addition, any projections as to the company’s future performance represent management’s estimates as of today, September 16, 2009. China Green Agriculture assume no obligation to update these projections in the future as market conditions change. At this time, I would like to turn the call over to Mr. Tao Li, Chairman, President, and Chief Executive Officer of China Green Agriculture. Mr. Li will be providing brief opening remarks, followed by Ms. Ying Yang, the company’s CFO, to review the financial performance of the company in the most recent quarter of fiscal year 2009. Mr. Li, the floor is now yours. 
Tao Li : Thanks, Ted and thank you, everyone, for joining us today. We are very pleased that our financial results have exceeded both our revenue and EPS guidance for the fiscal year 2009. We are [inaudible] to deliver these results while maintaining industry leading margins within the [organics] [inaudible] market. Our nationwide distribution network, strong up-sales [inaudible], increasing production capacity, and dedicated R&D focus will allow us to drive revenue and earnings for our company during this year 2010. We feel confident that we will be able to continue strong growth in the future. At this time, I would like to pass the call to Ms. Ying Yang, our CFO. 
Ying Yang: Thank you, Mr. Li. On today’s call, I will be providing details on our financial results for the fourth quarter and full year, discussing our growth strategy, and providing our outlook as we further establish ourselves as one of the leading organic fertilizer producers in China. Net sales for the fourth quarter of fiscal year 2009 totaled $10.5 million, up 45% from $7.2 million in the same quarter of fiscal year 2008. Techteam's sales of humic acid based liquid compound fertilizers contributed to 90% of our total net sales. The top three selling products were [inaudible], [inaudible], and [inaudible], which are from [inaudible], tailored, and [functional] categories respectively. For the fourth quarter of fiscal year 2009, Techteam's net sales increased $2.7 million, or 39%, to $9.5 million from $6.8 million for the same quarter of fiscal year 2008. This increase was primarily due to strong sales from our green fertilizer products and upgrade in production capacity. Sales volume increased 15% to 4,243 tons in the fourth quarter versus 3,685 tons in the same period of 2008. Sales of agricultural products from Jintai, namely top-grade fruits, vegetables, flowers and colored seedlings increased 139% and accounted for $1.0 million, or 10% of total net sales. Gross profit for the fourth quarter totaled $6.4 million, an increase of 68% from $3.8 million in the same quarter of 2008. Gross profit margin was 61% for the fourth quarter of fiscal year 2009, up from 53% a year ago. Operating expenses for the fourth quarter were $1.2 million, down from $1.4 million a year ago. The decrease was mainly attributable to a reduction in professional service. Operating expenses were 11% of net sales in the fourth quarter of 2009, down from 20% of net sales in the corresponding quarter of fiscal year 2008. Operating income for the fourth quarter was $5.2 million, up 120% from $2.4 million in the fourth quarter of fiscal year 2008. Operating margin was 50%, compared to 33% in the same quarter of fiscal year 2008. Net income for the fourth quarter of fiscal year 2009 was $4.4 million, or $0.24 per basic and fully diluted share, up 238% compared with net income of $1.3 million or $0.07 per basic and fully diluted share during the same period in fiscal year 2008. In the fourth quarter of 2009, the average weighted shares outstanding were 18.6 million shares versus 18.3 million shares in the year ago period. I would now like to review our financial performance for the full year. For the fiscal year ending June 30, 2009, our net sales increased 56% to $35.2 million, up from $22.6 million a year ago. Fiscal year 2009, Techteam's net sales, which accounted for 82% of total net sales, increased $10.2 million, or 55%, to $28.9 million from $18.6 million a year ago. Sales volume increased 41% to 15,042 tons from 10,677 tons a year ago. This increase was mainly attributable to production capacity upgrades, the introduction of 15 new products and the new addition of 50 net distributors. Jintai's net sales increased approximately $2.4 million or 60%, to $6.3 million for the year ended June 30, 2009 from $4 million in 2008. This increase was largely due to the strong sales of various decorative flowers, mainly butterfly orchids, big orchids and red leaf flowers during this year's holiday seasons. Gross profit increased 60% to $20.5 million in the fiscal year 2009, versus $12.8 million a year ago. Gross margin was 58% and 57% for the years ended June 30, 2009 and 2008, respectively. Operating income for the fiscal year 2009 rose 83% to $17.1 million compared to $9.3 million for the fiscal year 2008. Net income for fiscal year 2009 was $14.5 million, or $0.78 per basic and fully diluted share, based on 18.5 million weighted average shares. Net income for fiscal 2008 was $7.8 million, or $0.53 per basic and fully diluted share, based on 14.7 million weighted average shares. Moving on to the balance sheet, as of June 30, 2009, we had $17.8 million in cash and cash equivalents, we had no long-term debt, and only short-term loans of $3.2 million with shareholders’ equity of $32.6 million as of June 30, 2009. Our net accounts receivable stood at $8.2 million as of June 30, 2009 with days sales outstanding of 60, compared to $3.6 million and 44 days sales outstanding a year ago. Inventories totaled $7.2 million as of June 30, 2009. For the fiscal year ending June 30, 2009, we had $7.2 million in cash flows from operations and capital expenditures amounted to approximately $5.1 million due to the building construction and equipment purchase for our new production capacity. Since our inception, we have successfully developed and introduced new fertilizer products to the market, providing one of the most diverse product mixes of liquid fertilizers available in China today. During the fiscal year 2009, we released 15 new fertilizer products into the marketplace. We plan to release 20 to 24 new products in fiscal 2010. In order to expand our footprint in the highly fragmented fertilizer market throughout China, we will continue to increase our distribution base to add new quality distributors while [inaudible] under-performing distributors. While we had a total of 480 distributors at the end of fiscal year 2008, we currently have 530 distributors and plan to have approximately 580 distributors by the end of fiscal 2010. We were the first company in China to build a fully automated manufacturing system which precisely measures and [inaudible] key ingredients to formulate our unique fertilizer products. On August 20, 2009, we started the operation for the new 40,000 ton production line which is at the same location adjacent to our existing 15,000 ton facility. The increase in capacity will allow us to meet the growing demand for our fertilizers. Our new facilities, which spread over approximately 148,000 square feet, includes 27 vests, essential control center with in-house monitoring capabilities, and pharmaceutical grade electronically calibrated measuring devices for quality control. In addition to the high degree of automation we already have on the 15,000 metric ton production line, the new production line has three advanced features that allow us to achieve higher efficiency, more economy of scale, and thus higher gross margins once it’s been fully utilized. In addition, this line is scaleable in a way which syncs perfectly as production increases to ensure optimal utilization through each phase of growth. First, we introduced more automated equipment to the packaging process, which reduces reliance on manual labor, further human errors, and increases efficiency. Secondly, we developed an in-store proprietary and fully integrated mobile wireless monitoring system which enables the key personnel to closely supervise the production process anywhere in the world at any time. Lastly, we designed and modified the existing production process with specialized equipment that enables us to not only produce liquid fertilizer products but also highly concentrated or powdered fertilizer. Additionally, we are the first fertilizer manufacturer in China to apply microwave technology to the production of our highly concentrated fertilizers. In July 2009, we completed a $28.8 million public offering by issuing roughly 4 million shares of common stock. We intend to use net proceeds to expand our research and development center for the construction of new greenhouse facilities with estimated costs of approximately $38.6 million over the next two years. We plan to build 12 new greenhouse facilities on a separate 88 acre part of land to expand output of high quality agricultural products for commercial sales while providing an advanced testing field for new fertilizers and other humic acid based products. More importantly, this initiative will [inaudible] [sustainable] growth which will give us the capability to reach full utilization of our 55,000 metric ton capacity over the next few years. Sales volume is expected to increase 40% to 45% with a utilization rate of 38% by the end of the fiscal year 2010. Looking forward, management expects revenues of $10.5 million to $11.2 million and EPS of $0.19 to $0.21 per fully diluted share for the first fiscal quarter ending September 30, 2009. For the fiscal year 2010, management expects revenues of $46.8 million to $49.4 million, net income of $18.8 million and $19.9 million, and EPS of $0.83 to $0.88 based on 22.7 million fully diluted shares respectively. Guidance reflects the anticipated strong sales from our organic compound fertilizer products in the fiscal year 2010. Please note an increased share count due to the recent offering is the reason for the difference in net income and EPS growth projected for fiscal year 2010. To conclude, we are confident that we will continue to capitalize on the market opportunities within China's fertilizer and agriculture industry. Based on the growing market demand for our organic compound fertilizer products coupled with our extensive distribution network, we expect that our recent increase in production capacity will be fully absorbed by the market demand. We believe that the company will continue to benefit by offering high yields and environmentally sustainable fertilizers which are vital to China's agricultural production capabilities in the face of shrinking arable land, ongoing consumer food safety concerns and a growing population. Supported by a vertically integrated platform, we have built an organization with multiple competitive advantages and superior operating metrics. By leveraging our new production facility, supported by our existing and new greenhouse facilities, we feel China Green Agriculture is well positioned to gain further market share. This concludes our prepared remarks for the fourth quarter and fiscal year 2009. I would now like to invite listeners to ask me and Mr. Li any questions [you may have] regarding our operations and financial results. 
Operator: (Operator Instructions) Our first question comes from Joe [Giamike] with Rodman & Renshaw.
Joe Giamike - Rodman & Renshaw: Thank you very much. Good evening and congratulations on the quarter. Can you just -- just to touch on pricing, what you are seeing in terms of the trend in pricing and then sort of what your perceived ability for pricing levers would be going forward. 
Ying Yang: Yeah, definitely -- our pricing as we’ve been always executing in the past, we have tried to provide a very stable pricing on our existing products. However, we are also trying to develop much higher end products with higher average selling price. 
Joe Giamike - Rodman & Renshaw: So prices appear to have increased sort of on a pretty consistent 10% basis. Is that -- as you continue to roll out new products, is that something we should sort of -- assumptions we should sort of make as volumes grow?
Ying Yang: Ten percent -- it really depends on the product mix. The more higher end products we release to the market, that can shift. And it also depends on the demand from the market and the seasonality. Every quarter we have different products that have particular demand so [we use] just one percentage. 
Joe Giamike - Rodman & Renshaw: Okay, that’s fair enough. And then just to quickly discuss the typical credit terms that you’ve extended to customers, can you just sort of describe the type of customers that you extend terms to and whether or not your credit policy has changed at all in the last year or two?
Ying Yang: Currently we haven’t changed our credit policies. As we’ve been closely working with our distributors, we give the credit terms to those who have been working with the company for a long period of time but for the newly developed distributors, we actually ask them to pay up front. 
Joe Giamike - Rodman & Renshaw: Okay. Just in terms of bad debt, just to be clear, that has never been an issue for you in the past?
Ying Yang: No, you’re right. 
Joe Giamike - Rodman & Renshaw: Got it, and then just more generally and then I’ll get out of the way and let other people ask questions, as a management team in an area where you are seeing a lot of comparable but not directly competitive companies increasing capacity, do you guys have a concern for potential over-capacity in the fertilizer space as a whole?
Ying Yang: Well, as long as the population continues to grow, there is [inaudible] to be increasing demand for fertilizer, more efficient fertilizers particularly. So we are actually just accounted for 1% of the total market share so by adding this additional capacity, we -- our goal is to achieve to 5% in three years. 
Joe Giamike - Rodman & Renshaw: And that’s through both the secular growth of the industry as a whole and share capture on your own will be the drivers, right?
Ying Yang: Yes. 
Joe Giamike - Rodman & Renshaw: Okay, great. Well, thank you very much and congratulations again on the quarter. 
Operator: Your next question comes from Howard Zhou with Roth Capital Partners. Please proceed with your question. 
Howard Zhou - Roth Capital Partners: Good evening, everyone. Congratulations on a strong quarter. My first question actually is regarding your gross margin. Could you tell us what is the gross margin for fertilizer versus the agricultural products for the fourth quarter?
Ying Yang: Sure. Our gross margin for the fertilizer is -- for the fertilizer is roughly about 60%, actually a little bit higher -- and our -- Jintai’s R&D center’s gross margin is roughly about 40%. 
Howard Zhou - Roth Capital Partners: Okay. And my second question is for Mr. Li. Could you comment on initial sales of the new powder fertilizer? Do you have a sales target for the first quarter as well as for the full year 2010? 
Tao Li : (Translation not provided)
Howard Zhou - Roth Capital Partners: Okay, that’s good enough. Oh, you want to translate?
Ying Yang: So to answer Howard’s question, we have the powdered fertilizer coming up with the new production line, which we estimated about 200 [pounds] for the first quarter. It might be more than that. We have putting a lot of market strategies and trying to promote the sales. Regarding the liquid fertilizer, we also are changing the marketing strategies. We recently had a sales conference with all our sales people so we are putting out some new business models and we will have detailed plans coming up. 
Howard Zhou - Roth Capital Partners: Okay, and then Mr. Li, could you update us on the progress of your greenhouse expansion. Where do you stand in terms of the construction of your greenhouse?
Ying Yang: Actually, I can answer that. The greenhouse actually has, as you know, we have to purchase the land first and normally this is very complicated transaction in China. It normally takes about two or three years sometimes to finalize the deals with such a big parcel of land. However, we actually have been pushing the whole process very fast and we are very confident that we can close the deal to purchase the land in the near future. And with the construction plan and design is coming up soon, so everything is according to our previous schedule. 
Howard Zhou - Roth Capital Partners: Okay, and one last question -- for 2010, in terms of new product development plans, did you say you plan for 22 to 24 new products?
Ying Yang: Yes. 
Howard Zhou - Roth Capital Partners: Okay. All right, thank you. That’s all for my questions. 
Operator: Our next question comes from Tom Bishop with B.I. Research. 
Tom Bishop - B.I. Research: Good morning. With regard to capital spending, I believe the new 15 -- the extra 5,000 tons came on around January 1. Is that correct?
Ying Yang: Yes, yes -- it’s an upgrade on our previous production line. 
Tom Bishop - B.I. Research: Right, but I was a little surprised that CapEx for the entire year was only $5.1 million, you know, especially relative to $38 million for the R&D expansion when you increased production from $10 million to $15 million during the year and then did most of the capital spending I would think by June of this year for the additional 40,000 tons. Is that $5.1 million really for the full year or just for Q4? It says the full year but -- 
Ying Yang: Yeah, the -- you know -- yeah, 5.1 is for the full year. The upgrade actually was completed in December so you probably can find some numbers in the -- our Q2 financial statements. And one thing I wanted to clarify is that was just internally changes, we didn’t hire any consultants from third parties, so we have modified our production programs so it’s running the whole process more efficiently and cut down the -- what’s that, the change time. So -- and we also have changed some key equipment that allows us to run it more efficiently, so that actually didn’t cost too much. The new -- the R&D extension, believe it or not actually always cost much more than the production. Our current R&D center, which has six intelligent greenhouses, actually cost about three times of what we have invested on the 10,000 metric ton production line. So just to give you the idea. 
Tom Bishop - B.I. Research: Well, how much did the most recent 40,000 ton expansion to production cost, just -- 
Ying Yang: That actually cost about $13 million to $14 million, and if you look at the ratio here, the new R&D center expansion cost about 38, so it’s right around that ratio. 
Tom Bishop - B.I. Research: Well, that’s what I was getting at, was the $5.0 million that you listed for CapEx, that doesn’t seem to relate to the $13 million to $14 million for the expansion, so -- 
Ying Yang: Yeah, we started the project in -- we got the money from 2007 and we started in fiscal year 2008 already. 
Tom Bishop - B.I. Research: Okay. My other question is -- well, I wanted to clarify something -- the increase in Q4 of 45% as compared to the 15% increase in volume is some price but a lot of mix and higher -- and newer products that are higher margins? In other words, there’s a 30% between the volume and the actual revenue growth of 45%?
Ying Yang: You mean for the guidance?
Tom Bishop - B.I. Research: No, Q4. I mean, that’s quite a big difference between the volume and the revenue increase, 15% versus 45%. 
Ying Yang: Yeah, yeah -- 15% versus the 39% -- yeah, the -- I have to give you the breakdown here because the sales from Jintai actually increased 140% compared to a year ago the same period, so -- but still right, 15% increase in the sales volume and 39% increase [inaudible] fertilizer. Yes, there is a shift on the product mix tier. 
Tom Bishop - B.I. Research: Okay. And lastly, when do you expect that the -- can you give us a timeline for the greenhouses, like will two of them be done by a certain time and you know, in part I am wondering when we have 22% shares outstanding but when we will see say at least [22%] of income coming in to offset that so it’s no longer a drag? But it all kind of relates to the timeline for the R&D expansion, if you can get into that a little. 
Ying Yang: Yeah, we definitely have our detail milestone but this is all based on how soon we can purchase the land first. Again, as I said earlier, normally this process would take a much longer time but I think we are confident that we can close the deal pretty soon. So once the land is purchased, we can move everything, we can line up all the process accordingly. So by the end of fiscal 2010, we could be finished two or we could be finished more greenhouses. 
Tom Bishop - B.I. Research: Okay, so they are going to be built somewhat two by two or -- you know, they are not going to try to be building 12 at once, right?
Ying Yang: No, no, no -- it’s -- yeah, it’s step by step, so we would do one at a time and once we complete and we’ll start putting the produce inside and let them grow, so for the -- for fiscal 2010, probably the revenues generated from the new greenhouses won’t be too much. 
Tom Bishop - B.I. Research: Well, probably none, really, right?
Ying Yang: Yeah, well maybe slightly. That’s not our goal. Our goal is to build the R&D facility, R&D build and trying to use that and help us to develop some new products. 
Tom Bishop - B.I. Research: Right, so in addition to the greenhouses, there’s some lab space, is that right? 
Ying Yang: Yes, yes. 
Tom Bishop - B.I. Research: R&D, some real R&D facility?
Ying Yang: Yes, yes. 
Tom Bishop - B.I. Research: How many square feet is that?
Ying Yang: I don’t have that number in front of me here but it’s just one R&D building. 
Tom Bishop - B.I. Research: Okay. I have just one last question and that is given the tremendous dilution rates that I read about for your liquids, these are -- these help increase the planned uptake of fertilizer whereas the extra ingredients, I mean, farmers are still putting down compound fertilizer separately or -- [maybe you can’t] fit that much NPK in a liquid you dilute 100 times. So I’m a little not clear on how that works. 
Ying Yang: I’m sorry, if I understood your question clearly, you are trying to -- how much NPK inside our fertilizers?
Tom Bishop - B.I. Research: Yeah, or do you have to fertilize independently of that and these liquids help the uptake of those other fertilizers?
Ying Yang: Well, because humic acid is a really active ingredient, so you know, it definitely helps the crops to absorb those nutritions better and also especially with those deteriorated soil which has all the frozen chemical residuals inside and the organic -- our humic acid fertilizer can help them to be more moveable and be easily absorbed by the crops. 
Tom Bishop - B.I. Research: Okay, but additional fertilizer needs to be applied, right, from time to time?
Ying Yang: Yeah, we encourage farmers to use both as an optimal mix to reach the best results but if farmers only wanted to grow the organic produce, then they cannot use any chemical fertilizers. 
Tom Bishop - B.I. Research: Okay, they just have to mind the nutrients that are in the soil already, basically?
Ying Yang: Yeah, there are some nutrients stayed in the soil from previously and we also have some of our fertilizer products that have the key ingredients also, so we can provide that as an independent fertilizer to the farmers. 
Tom Bishop - B.I. Research: Okay, and the powders would be which kind?
Ying Yang: The powders would be very similar to the liquid, just in a different form and more efficient. 
Tom Bishop - B.I. Research: Okay, good. Thank you very much. 
Operator: (Operator Instructions) Our next question comes from Tim Hansen with [inaudible]. 
Tim Hansen - Analyst : I just have three quick ones here -- first when you say there’s going to be a 38% utilization rate of capacity in fiscal 2010, does that refer 38% to the total 55,000 or is it 100% utilization of the 15,000 existing and a 38% utilization rate of the new 40,000?
Ying Yang: You’re very specific. It’s the total, 55. 
Tim Hansen - Analyst : Okay, and then I heard you guys [comment] about the margin improvement that the new facility offers. Can you go into any detail about the magnitude that you would expect?
Ying Yang: The magnitude of the new production line?
Tim Hansen - Analyst : Right, if the gross margin on fertilizer right now is 60% and we expect the margin improvement with the opening of the new facilities, does that mean the gross margin is going to go to 60.5 or higher, somewhat higher than that?
Ying Yang: We are trying to develop more higher-end products and especially, you know, both on the liquid and powdered formats, so we would like to see maybe a couple more percentage increase on that. 
Tim Hansen - Analyst : Okay, that’s good. And then finally on the CapEx, is there any sort of CapEx guidance for the year? I know the greenhouses are supposed to cost about $38 million [inaudible] the land purchases is the focal point right now but would we expect that $38 million to be split evenly between 2010 and 2011? Or for it to be weighted to one year or the other?
Ying Yang: They are pretty close. It’s slightly more on the first year but they are really pretty close. 
Tim Hansen - Analyst : Okay. Those are all my questions. Thanks, guys. You guys had a great year. 
Operator: There are no further questions in queue at this time. I would like to turn the floor back over to management for closing comments. 
Ying Yang: Well, thank you. On behalf of the entire China Green Agriculture management team, I would now like to thank everyone for your interest and participation on this call. This concludes China Green Agriculture's fourth quarter and fiscal year 2009 conference call. 